Operator: Good day and welcome to the TransUnion 2021 First Quarter Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Aaron Hoffman, Senior Vice President of Investor Relations. Please go ahead.
Aaron Hoffman: Good morning, everyone and thank you for joining us today. I hope all of you remain safe and healthy. On the call today, we have Chris Cartwright, President and Chief Executive Officer; and Todd Cello, Executive Vice President and Chief Financial Officer. We’ve posted our earnings release and slides to accompany this call on the TransUnion Investor Relations' website. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses and other items, as well as certain non-GAAP disclosures and financial measures, along with their corresponding reconciliations of these non-GAAP financial measures to their most directly comparable GAAP measures. Today’s call will be recorded and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release and the comments made during the conference call and in our most recent Form 10-K and Form 10-Q and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. With that said, let me turn the time over to Chris.
Chris Cartwright: Thanks, Aaron. Let me add my welcome and my best wishes that you and your families are healthy. At TransUnion, our associates continue to largely work from home and continue to demonstrate their ability to support the needs of our customers and consumers. I remain grateful for their efforts and commitment. Now I'd like to lay out the agenda for this morning's call. First, I will discuss some of the broad macro and TransUnion specific trends that we experienced in the first quarter, and how they set the stage for a much stronger year than we previously anticipated. Next I will discuss our portfolio and strategies, which position us for high single-digit revenue growth at an attractive growing margin over the long-term. Finally, I'll pass the baton to Todd to discuss our first quarter results in detail along with second quarter and full year 2021 guidance. Let me start with our strong performance in the quarter. We significantly outperformed our guidance as we experienced a rapid recovery in many markets throughout February and March. Todd will discuss some of the specific revenue trends later as part of his remarks. But the takeaway is that we broadly saw trends improve across our business, consistent with the many improving macro indicators. Notably, according to a JPMorgan report, U.S. consumer spending accelerated during the first quarter, outpacing 2019 levels, and according to the labor department, unemployment fell to 6% a pandemic low. In March, small business owners felt the most optimistic since the onset of the coronavirus pandemic, according to the National Federation of Independent Business. Taking together these and many other salient points from the first quarter indicate the start of what we hope will be a long sustained economic recovery in the U.S. as Americans return to more normal work and social behavior. We’ve seen similar trends in our key international markets. In the U.K., consumer confidence reached its highest level in a year, while income is expected to grow along with consumer spending in the coming quarters. In Canada, unemployment reached its lowest levels since March 2020. And consumer confidence hit pandemic era highs and in India reported unemployment dropped below pre-pandemic level, while consumer confidence and spending continue to recover. Like these metrics, our business improved as uncertainties resolved themselves positively. Business prospects improved and health concerns moderated. In short, the consumer is strengthened and businesses have regained confidence. For our business that led to a resurgence in demand for lending and new customer acquisition, resulting in improved non-mortgage performance in our financial services vertical even as the rate of mortgage growth slowed. Similarly, results accelerated as demand strengthened across our emerging verticals highlighted by double-digit growth in public sector, tenant and employment screening and media. In our Consumer Interactive segment, we saw better than expected performance as our direct business remain strong and declines in indirect channels moderated. We saw similar results in our international markets, with trends improving quarter-over-quarter in all our regions except the U.K. I would note that we continue to see the fragility of reopenings around the world, as evidenced by recent targeted lockdowns in Canada, lockdowns in almost all major cities in India, including Mumbai, and in parts of Colombia and elsewhere. This illustrates that recovery from the pandemic will be volatile and nonlinear, which we've attempted to accommodate in our financial outlook. Nonetheless, given our strong first quarter, and the more positive macro environment, we have substantially raised our full year 2021 guidance. Todd will provide you with the details later. Importantly, we remain confident in our long-term growth algorithm of high single-digit revenue growth at expanding attractive margins with double-digit EPS growth. Now I want to spend a few minutes on TransUnion's differentiated market position and approach which fuels this long-term growth algorithm. I've discussed these points on past earnings calls, but want to review them again as we continue to progress in each area. First, we have a track record of delivering outsized growth across the markets we serve through innovation and disruption leading to share gains. For example, in the U.S., we've grown rapidly in financial services due to our first mover advantage in trended and alternative data, which provides better credit insights for lenders and our deep understanding of their needs. This innovation and customer intimacy has helped us to grow much faster than the market as a whole. We also have developed deep partnerships with leading FinTech lenders positioning ourselves uniquely to grow, as ecommerce continues to disrupt traditional delivery of financial services. We've attacked in the insurance market by expanding from a credit and scores only position in personal auto underwriting into a broader set of solutions, serving multiple insurance, sub-verticals and use cases. And we've applied this approach of increasing breadth and depth of solutions in the healthcare and public sector verticals, and across the spectrum of diversified markets, such as telecommunications, ecommerce and tenant and employment screening. Most recently, we established media vertical and have won meaningful new relationships with partners such as Comscore, MediaMath and Blockgraph, which is owned by Comcast, Charter, and ViacomCBS. An earlier this month, we signed an agreement with OpenAP, a consortium of Fox, NBCUniversal, and ViacomCBS. We also announced earlier this month that we will extend our presence in the fast growing online gaming and gambling markets in the U.S. building our success in the U.K. In both cases, we provide valuable digital identity and fraud solutions to site operators to ensure they comply with local regulation and froth the efforts of fraudsters. Importantly, we will not offer solutions designed to extend credit to gamblers. In our Consumer Interactive segment, we engage consumers directly and indirectly through channel partnerships across industries, with solutions for personal financial management, identity protection and targeted credit offers. We established this attractive combined approach more than a decade ago by partnering with market leaders and benefiting from their growth. Recently, we've moved our direct-to-consumer business under our U.S. markets leader, Steve Chaouki. These two businesses can now combine the best of their offerings and pursue opportunities primarily in the indirect channel, where we help our customers serve consumers with engagement solutions, such as the CreditView dashboard. By closely aligning U.S. markets and consumer interactive, we can better leverage our combined capabilities. I will continue to share our progress as we develop this new strategy in our new organization. In addition to our attractive market positions, we have a proven and scalable enterprise playbook. Based on a foundation of customer and consumer insights, we've developed a repeatable approach to plant engagement, product innovation, and adjacency expansion. This approach fuels our ability to grow in excess often by multiples of a given underlying vertical or geographic market. In our recently established global solutions and global operations organizations, we will enhance and accelerate the use of our playbook across TransUnion. As an example of how this approach has produced meaningful results, I'll highlight the development of our insurance vertical in the U.S., which has substantially outgrown its underlying market. Historically, we focused on providing credit solutions to personal auto underwriters. Over time, we expanded systematically across the insurance value chain. Today, our offerings include fraud mitigation, customer acquisition, data prefill, underwriting assessment, policy renewal, analytics, collections and claims investigation. We've built a broad and differentiated position that is fueled many years of strong organic growth in the vertical. At the same time, we've entered adjacent insurance verticals using these solutions. From personal auto, we expanded into commercial auto bringing powerful driver insights. We also launched a data driven life insurance underwriting score, which we later extended to group life customers. And we also provide impactful solutions to assess the risk of apartment and condo buildings for commercial habitational insurers. All together, these innovations have enabled us to generate superior growth in our insurance vertical. In international, we've consistently utilized our growth playbook to outperform underlying markets regardless of their inherent growth rate. I want to use two examples of dramatically different markets India and Canada to illustrate the point. In India, we delivered a 32% revenue CAGR from 2016 to 2019. Now clearly, the underlying market grew rapidly during that time, perhaps low double-digits, suggesting that we outperformed by a factor of two to three times. We did that through thought leadership and by becoming a valued partner to the commercial banks, FinTech and government agencies that support lenders and consumers alike. We delivered a steady stream of innovation including CreditVision, CreditView, a powerful commercial credit score to validate in many other solutions. And we moved into adjacent markets including commercial credit, direct-to-consumer and insurance. In Canada, where we grew at a 12% CAGR from '16 through '19, our approach was much the same, but in a much more mature market. The underlying market likely grew in the low single digits and we outperformed by multiples. We did this again through thought leadership and close partnership with our customers. Our growth benefited from numerous centrally developed solutions that we leveraged in Canada, including CreditVision, CreditView, fraud mitigation, and Prama. We also extended into adjacent markets including insurance, public sector, and direct-to-consumer. The story repeats itself across verticals in geographic markets around the world. This approach allowed us to successfully enter new markets like the U.K., Colombia, in the Philippines, where our growth playbook enabled us to quickly deliver above market growth. We complement the growth playbook with powerful proprietary and third party data assets. In addition to our traditional attractive positions in consumer credit data, we've developed an array of alternative data assets to serve core and high growth used cases. I'll provide you with some significant examples, but not a comprehensive list. For lenders, we have trended credit payday and online short-term loans data, consumer contributed data through our MX partnership, and income and employment verification from the largest U.S. payroll processor. For fraud mitigation, we have a massive repository of device based fraudulent behavior that spans more than 15 years, and 8 billion devices from virtually every country in the world. We have access to public records from 1000s of sources delivered through TLOxp that powers investigative solutions used in virtually every one of our verticals. From our recent acquisition of Tru Optik, we have data on streaming devices and activity for more than 80 million U.S. households. In our insurance vertical, we offer a comprehensive driving violation data and state issued motor vehicle reports. And in our international markets, we have a similarly broad array of information including commercial credit data, public record data, and other alternative data, as well as differentiated data used by insurers in a number of countries. While we internally develop much of our data and analytics capabilities over these last eight years, we've also executed 20 acquisitions and a host of strategic partnerships that have meaningfully augmented our data assets and created value for our shareholders. And we continue to aggressively pursue new differentiated data assets. We also differentiate ourselves by how we manage the data entrusted to us. To that end, last week, we announced a preferred equity investment in and strategic cooperation with Spring Labs a leading financial technology firm transforming the exchange of sensitive data. Their advanced cryptography allows strict control of information visibility and their permission block chain provides a timestamp, immutable record and audit trail. Together, we can increase access to Spring Labs' data exchange network and products, while enabling us to expand protection of sensitive consumer data initially for fraud and identity verification. Our industry leading technology remains a competitive advantage. I've regularly discussed our track record of delivering on large scale complex technology initiative, as well as project rise, our current program to make TransUnion's technology more scalable, secure, efficient, and effective. So I won't recount them here. Project rise keeps us on the cutting edge of cloud computing and information security, and remains on plans to deliver considerable operational and financial benefits. As we achieve key milestones in the program, we'll continue to provide you with updates. Now underpinning these market positions, our culture is rooted in customer focus and partnership. We've built a company that understands the needs of the customers it serves and can deliver best-in-class solutions to meet those needs. We also balanced the sense of humility with a deep inner drive to be successful and accountable, while also taking the collaborative approach both internally and externally. As a result, we have built a track record of winning in the marketplace and delivering superior results. And our success in growth has allowed us to hire extremely high caliber talent across the organization. At the same time, our culture has always embraced diversity, equity and inclusion. Over the past year that has taken increased importance as we've witnessed an unprecedented wave of social activism aimed at remediating the historical injustices inflicted on minority populations. I've spoken before about our task force for racial equity, which continues to make progress. Most recently, we hired an experienced executive to lead our supplier diversity efforts and join three nonprofit organizations, which serve as chambers of commerce for diverse end businesses. I'll highlight a few other items relevant to this work. First, you can read in our most recent proxy about our Board's decision to link a component of our executive team's compensation to diversity hirings and promotions. Second, I'd encourage you to read our recently published diversity report, which highlights the good work that we're doing to create a more inclusive and diverse employee base. I was pleased to see that over the past year, we increased our percentage of global female leaders from 27% to 30%, a solid improvement, although we still have a lot of work to do to achieve our goal of gender parity at all levels. Third, in our sustainability report, you'll see that we have embraced the FASB and [indiscernible] reporting frameworks, along with making significant progress on all three dimensions of ESG. And finally, I would like to say equivocally that TransUnion stands in opposition to the surge in hate crimes against Asian Americans. These actions are deplorable and unacceptable in any form. Now this morning, I've laid out TransUnion's differentiated market and portfolio positioning that has enabled industry leading growth since our IPO. I fully expect the same differentiators in which we continue to invest aggressively to fuel strong performance over the years to come. Now with that, let me turn over baton to Todd to walk you through our financial results and our second quarter and full-year 2021 guidance, Todd.
Todd Cello: Thanks, Chris. I want to start by building on Chris's commentary about the accelerated recovery we experienced in the middle of the quarter. This slide shows monthly year-over-year revenue growth for all our reported segments, verticals and geographies. With only a few minor exceptions, you can see a clear inflection over the course of the quarter, reflecting the positive macro dynamics that Chris highlighted. I will note that while total financial services shows relatively consistent monthly growth rates, if you look at the non-mortgage business, it progressed from down mid single-digits in January, two up strong double-digits in March. This timing had a significant impact on how we guided the quarter and the full year on February 16 compared to the actual results we delivered in the quarter, and the revised guidance that I'll share with you shortly. When we built our forecasts for the 2020 year-end earnings call, we had seen actuals for January, and heard limited incrementally positive comments from our customers. Macro indicators still hadn't definitively flipped to more positive trajectories that all changed in the middle of the quarter. More specifically with February's results, we gained additional conviction in the outlook. And March came in substantially better than we would have expected based on all the information we had in early February. As we've always stressed, we want to provide guidance that is based on the best available data and what we have line of sight to which is exactly what we did in February. And that's what we're going to do again this quarter by raising full year guidance based on a more constructive view of our markets supported by concrete, macro indicators, and clear signal from our customers. With that context in place, I'll start my review with our consolidated results. And for the sake of simplicity, all of the comparisons I discussed today will be against the first quarter of 2020 unless noted otherwise. Starting with the income statement, first quarter consolidated revenue increased 8% on a reported and constant currency basis. The signal and Tru Optik acquisition had just under one point of impact, so organic constant currency growth to 7%. Excluding mortgage from both the first quarter of 2020 and 2021, our business grew 4% on an organic constant currency basis. Adjusted EBITDA increased 14% on a reported and 13% on a constant currency basis. Our adjusted EBITDA margin was 40.3% up 200 basis points, compared with a year ago quarter driven primarily by the significant revenue outperformance. First quarter adjusted diluted EPS increased 25%. This was largely driven by strong adjusted EBITDA growth, to benefit from reduced interest expense related to our debt refinancings, prepayments and lower LIBOR rates, as well as a slightly lower adjusted tax rate of 22.8%. Now looking at segment financial performance, U.S. markets revenue was up 11% compared to the year ago quarter. The two media acquisitions had about one point of impact on revenue. Excluding mortgage, organic revenue would have grown 4%. Adjusted EBITDA for U.S. markets increased 16% as reported, and 17% on an organic basis. Adjusted EBITDA margin improved by 180 basis points, largely as a result of the strong revenue growth and offset partially by our continued strategic and operational investments, and the class to integrate and scale our recent media acquisition. Diving into the results by vertical, financial services revenue grew 14% and was up 5% excluding mortgage, notably, consumer lending, auto and credit card each improved over the course of the quarter, while the growth rate and mortgage as expected began to slow. As Chris discussed, we have seen improvement in most of our end markets, and we are well positioned to see an outsize benefit from this recovery. That view comes from a number of factors including our strong position with FinTech players and their expansion into new lending markets like credit card, and buy now pay later, as well as accelerated customer adoption and usage of CreditVision, as it provides unique insight in the consumers in a post pandemic lending market and our continued success winning business. Looking at the individual end markets, in consumer lending, lenders and our investors are primed to resume more aggressive customer acquisition though their plans were somewhat delayed as the quarter began, and ended with a stimulus check for more consumers. In auto, markets surged in March on the strength of another round of stimulus that further strengthened consumers’ personal balance sheets. While there is some disruption to the OEM production from the well publicized chip shortage, we've seen a shift to use car purchase, which is an area of strength for our business. And in card, we've seen an increase in marketing activity and expect that to continue as we progress through the year. And for mortgage, we now expect the market to be roughly flat, instead of down 10% in 2021, as we previously shared. Let me now turn to our emerging verticals, which grew 7% on a reported basis, and 4% excluding the revenue associated with the two media vertical acquisitions. As Chris discussed, we experienced generally improved trends across almost all of these verticals led by double-digit organic growth in public sector, tenant and employment screening, and media. Public sector remains a very strong growth vector for TransUnion as we benefit from work from home trends in certain new programs being advanced by the Biden administration. At both the federal and state level, we continue to see significant growth in the fraud and identity space as agencies administer additional programs to provide support to their constituents during the pandemic. In tenant and employment screening, we saw a modest improvement in employment screening, while our tenant screening solutions continue to deliver strong revenue growth behind key partnerships and accelerated usage of our smart move solution. And our media vertical continues to deliver attractive growth, while also inking new customers as Chris highlighted. We're pleased the momentum and scale we've developed in this vertical, as our recent acquisitions are tracking to our expectations. We also saw insurance continue to deliver growth driven in part by improving market trends, but even more so by the strength of our sales efforts, and customer adoption of our innovative solutions like DriverRisk, National Driving Record Solution, CreditVision, Prefill and TruValidate. Finally, our healthcare vertical revenue was down slightly, but showed improvement compared to recent pandemic impacted quarters. In particular, we are seeing continued growth in front end patient visit volumes, suggesting people are gaining comfort with returning to healthcare venues. As vaccines are administered more broadly, we believe this trend will continue to improve. Consumer Interactive revenue increased 3% driven by growth in the direct channel. Adjusted EBITDA was up 2% as we continue to increase marketing in the direct channel during the quarter. That marketing helps drive double-digit revenue growth in our direct business, and a solid increase in our subscriber base. Consumers value our credit health and identity protection services. Our team is also beginning to engage the sophisticated people based marketing solutions we've developed through our recent acquisitions. Given their efficacy, we believe they will help our direct business deliver solid growth in the years to come. Our indirect channel remains soft as financial products lead aggregators saw modest improvement over the course of the quarter. As we've seen lenders increase marketing intensity, we would expect that to provide some incremental benefit to our business as the year progresses, and subscriber bases are rebuilt. For our comments about international, all comparisons will be in constant currency. For the total segment, revenue grew 3% as we saw trends improve in most of our regions, adjusted EBITDA for international increased 16%. Let me dig into the specifics for each region. In the U.K., revenue declined 5% though trends improved considerably over the course of the quarter as the country has moved closer to being fully reopened. We continue to see strength in our fraud and online gaming businesses. And while the lending market remains depressed relative to pre-COVID levels, we are seeing encouraging signs from lenders. While we also benefit from a strong position with the fast growing buy now pay later players. Our Canadian business grew 9% in the first quarter, while key end markets like lending neared pre-pandemic activity levels. We generated growth from the portfolio diversification that we've intentionally developed, including insurance, direct-to-consumer offerings, and the emerging FinTech space. In India, we grew 11% as the country has largely reopened, though with the caveat that the situation there has worsened significantly in recent weeks, highlighting just how fragile some markets remain. We continue to benefit from our diverse product portfolio including commercial credit scoring, fraud mitigation solutions, direct-to-consumer and government sponsored programs to assist lenders through the pandemic. In Latin America, revenue was up 5% on the strength of double-digit growth in our two largest markets, Colombia, and Brazil. Many of the smaller countries in Central America continue to see sharp declines as customers, consumers and governments navigate the challenges of the pandemic. In Asia Pacific, we grew 5% and continued recovery in our largest market, Hong Kong. There, we are seeing very positive momentum with our relaunched direct-to-consumer offering and are beginning to pursue more indirect partnerships. The Philippines remains very challenging and our current expectation is for a highly delayed recovery. Finally, Africa declined 5%. In our largest market, South Africa, the economy remains challenged and vaccination rollout has been slow. Based on recent market wins though, we do expect continue improvement in revenue as the year progresses. One of the many strengths of TransUnion is our balance sheet and our ability to rapidly generate cash. This provides us with consistent optionality to make the best decisions for the company and our shareholders. We finished the quarter with $433 million of cash on the balance sheet after voluntarily prepaying $85 million of our term loans. At the same time, our net leverage ratio continues to decline from 2.8 times at the end of the fourth quarter to 2.7 times at the end of March. With our strong balance sheet, we remained in a good position to continue to proactively pursue additional attractive investments, which remain an important part of our long-term growth strategy. That brings us to our outlook for the second quarter and the full year. Starting with second quarter revenue, we expect slightly less than one point of M&A contribution from Signal and Tru Optik, as well as a two-point tailwind to revenue from FX. And we expect two points of benefit to adjusted EBITDA from FX. Revenue is expected to come in between $744 million and $754 million or a 17% to 19% increase, reflecting the improved macro-environment and very easy second quarter 2020 comparables. This results in organic constant currency revenue growth being up 15% to 16%. Embedded in our revenue guidance is an approximate two-point headwind from mortgage. Adjusted EBITDA is expected to be between $296 million and $303 million an increase of 22% to 25%. Adjusted diluted earnings per share are expected to be between $0.89 and $0.92, an increase of 35% to 39%. And for the full year, we expect 50 basis points of benefit from M&A and one-point of tailwind to revenue from FX. Revenue is expected to be between $2.949 billion to $2.992 billion, up 9% to 10%. Our guidance includes 1 to 1.5 points of headwind for mortgage reflecting the fact that we only expect mortgage to be a tailwind in the first quarter, and that it will be progressively more challenging in the remaining three quarters. For our business segments, we expect U.S. markets to grow revenue high single digits, financial services to be up high single digits and emerging verticals to be up low double digits. Excluding impacted mortgage, U.S. markets would be up low double digits and financial services would be up low double digits as well. We anticipate that international will grow mid-teens on an as reported basis as we continue to see a varied pace of recovery across our markets. And we expect consumer interactive to be of low single digits. Adjusted EBITDA is expected to be between $1.157 billion and $1.189 billion up 11% to 14%. We expect one point benefit from FX. We expect our adjusted EBITDA margin to expand 80 to 130 basis points this year, even as we continue to aggressively invest in the business. Adjusted diluted earnings per share for the year expected to be between $3.45 and $3.58, up 15% to 19%. At this time, we have no material updates to our other guidance items like tax rate, DNA, interest expense, and capital expenditures. I'll now turn the call back to Chris for some final comments.
Chris Cartwright: Thanks, Todd. And to conclude this morning, we took you through a strong first quarter and a much more bullish outlook for the full-year based on significantly stronger macro trends across most of our markets. And we've discussed the differentiated portfolio market positions that have propelled TransUnion to best-in-class growth since our IPO, and that we believe will allow us to remain on this path in the future. I'll end by reiterating my hope that all of you and your families remain safe and healthy. And with that, I'll turn the time back to Aaron.
Aaron Hoffman: Thanks, Chris. That concludes our prepared remarks. As always for the Q&A, we ask - that you each ask only one question so that we can include more participants. And now we'll be glad to take your questions.
Operator: [Operator Instructions] And the first question comes from Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Good morning, gentlemen. And thank you for all that color. I was just hoping you guys could give us some more color on your FinTech vertical. It was obviously a very fast growing area before it did get hit during the pandemic. I was just wondering if you give us some anecdotal color on what that pace of recovery and outlook looks like today?
Chris Cartwright: Yes, sure Manav. Todd and I'll tag team on this one. But first, I would say that the consumer lending sub vertical was in financial services was one of the components of our business that strengthened month over month during the quarter, and that we expect will continue to benefit from the recovery. And of course, the FinTech players are material components of consumer lending. And generally we see strengthening there, we see an increased interest in new customer acquisition, which is terrific. And again, the longer-term we feel like e-commerce is going to become increasingly important to the delivery of financial services and we're very grateful for the partnership we have with so many of the players in that space, but generally speaking, I'd say it's a strengthening component of the portfolio that should benefit us in the quarters ahead. And so, Todd, anything you want to add to that?
Todd Cello: Yes, that's for sure. Chris said, I definitely would add to that, that we are in the FinTech players expand into new lending markets like credit card and especially the buy now pay later segment, which we've got a meaningful position and as well too. In addition, the story that we've told about how we won, share with FinTech with accelerated adoption and usage of our CreditVision suite of products continues to hold true as well with this customer group, as they enter into new markets. So we're very encouraged and excited about the potential with the Fintech’s for the remainder of the year.
Chris Cartwright: Yes, and then I would just add, as we've talked about in other calls, the FinTech space has been more stable during this downturn than many expected. And we've seen funding begin to flow back in a substantial way to the space. So it's all very encouraging. Next question?
Operator: The next question comes from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: So I am going to ask two questions. When looking at Slide 11, I just wanted to make sure for the U.K. line that you felt the revenue declines in the quarter would just related to the lockdowns. Obviously, I saw the plus seven in the month of March and wanted to hear how cross-selling TrueVision and CreditView are going in the U.K. Secondly, I also wanted to know if you want to give us kind of the percentage of revenues for the U.S. financial services, revenues, card, mortgage, fee loan, et cetera?
Chris Cartwright: Yes, I'll leave that second question Andrew to Todd. But I will say, obviously, the U.K. has been very hard hit by COVID and the lockdowns had a negative impact on our business. We also just have some revenue lumpiness in the quarter, because we had a very large piece of business, a non-recurring business last January. And so that exacerbated the decline. What I'll say about TrueVision is that there has been a lot of interest in the product since we introduced it. We generated some revenue last year on a whole variety of customer pilots. We've built a very nice pipeline and we're beginning to convert into recurring revenue some of the banks that are part of that pipeline. So I would say, TrueVision penetration in the U.K. is encouraging and it's very much following the path that we experienced in the U.S. Todd?
Todd Cello: Thanks, Chris. Hi, Andrew, just to finish off the question on the U.K., I mean that first of all kind of open up the quarter a little bit right, and show you what the trends look like by month, so a couple of things that are important. In January, we had a comparison to the prior year where we had a large onetime prior year deal in there. And then also you may recall that in January of 2020, that was the last month that we recorded revenue for business we divested by the name of Recipero. So if you exclude those two items, the U.K. actually would have been down mid-single digits in January. But typically, these are things we would never talk about, because we don't show the monthly trends and you would have just seen the quarterly number, but hopefully that that provides the context that you need. As it pertains to your second question about percentage breakouts of the end lending markets and financial services. What I can tell you is mortgage in particular on a trailing 12-month basis revenues were about 13% of total TransUnion mortgage. At this time, Andrew, we are not providing the details on auto, card and consumer lending. So probably that gives you enough - with mortgage.
Operator: The next question comes from Jeff Meuler with Baird. Please go ahead.
Jeff Meuler: Chris, as you refresh this, I guess on the growth playbook just wanted to revisit Prama, which was I guess an area that investors were optimistic about, a few years ago, it seemed to fade a bit to the background. So interested when it got a recent call out at an investor conference, and then again this morning as it relates to Canada. So I guess the question is, is Prama starting to gain more traction as part of the broader ongoing business win that you’re talking about. Thanks?
Chris Cartwright: Yes, good question. I mean, look Prama remains a vital part of our new product offerings, and I'd say technology integration with our clients if you will. And we continue to invest materially in the product not only because it represents a new revenue stream for us as we mature the feature functionality, and we increasingly license it across the markets that we serve. But I think Prama and tools such as Prama are going to become more a supporting way of engaging with the marketplace. They provide direct access to the range of information that TransUnion and other bureaus provide, a lot of analytic and modeling technology, the ability to upload and append other types of information or unique financial institution information with the other data the TransUnion provides, the ability to place orders and monitor the status of the orders. And so it's a new interface layer to the range of services that the industry provides that we'll be building out over time. And we think it's going to provide uplift on revenues, one through direct licensing, but also really through improved utilization, and increased stickiness with our customers.
Operator: The next question comes from Gary Bisbee with Bank of America Securities. Please go ahead. 
Gary Bisbee: Todd. I think I heard you say your guidance now implies mortgage flat for the year versus the prior down. Since you last reported, industry trends have clearly deteriorated. So can you help us understand like what you mean or why you now see it that way? And then it's part two of the question. I guess that would be a portion if I heard that right of the improvement in the guidance, but it seems like a smaller portion, can you just sort of give us a sense of what are two or three of the key areas that have improved most since you last provided the initial outlook for the year. Thank you.
Chris Cartwright: Hi, Gary, thanks for the question. Obviously an important one for us to go through this morning. So we are starting with our assumption around mortgage. First, in our February earnings call, we did call for a 10% year-over-year decline. And I think what we saw happen in the first quarter, his mortgage actually continued to perform relatively well, albeit though, we did start to see the year-over-year growth rates start to taper off throughout the quarter as the comparison obviously gets significantly more difficult, because if you think back to March of 2020, that's really when mortgage took off on significantly when interest rates plummeted. So that's definitely, a part of it is that the Q1 performance was definitely stronger in my opening remarks, hopefully, I provided the necessary context on what our business would have grown with and without on the mortgage contribution. So as we extrapolate mortgage out for the remainder of the year, I think we had a little bit more of a pessimistic thought about what was going to happen and I think what we're seeing is the market is relatively holding in particular with refinance, but also know we continue to see a good activity on the purchase side of things. So with that being said if you just dive a little bit more into mortgage, what we talked about for Q1, as we said that, we had a 3% benefit, in the quarter from mortgage. And the guide that we’re providing for the second quarter calls for a 2% headwind. So now we're starting to run into the comparables. And for the full year, we're calling for a 1% to a 1.5% on headwind. So if you just do the math, and kind of come up with okay well, what's going to happen in the second half of the year, we were anticipating to be down about 3% in mortgage. So there is definitely a tapering forthcoming. I think what's more instructive though, about our outlook and the portfolio of businesses that TransUnion has is, everything else that we're anticipating to recover in the second quarter and into the second half. In particular, financial services if exclude mortgage completely, we're talking about expectations of low double-digit growth. So that comes across all the other verticals - and lending markets, like auto, consumer and consumer lending, and bank and card so obviously, strong recovery there. In our emerging verticals, similar story, we’re expecting low double-digit growth throughout - as I highlighted in my prepared remarks. So think about when I talked about with public sector and insurance and media, all performing very well. Our healthcare vertical, a little bit slower to recover, but nevertheless, they are. So we're expecting that in the second half of the year. But if you look at the emerging verticals, and excluded healthcare at low double-digits, would be up mid double-digits, so a lot of strength, that we're anticipating in the emerging verticals. Our international business, expecting mid-teens growth on a reported basis now there is, you know again, in my prepared remarks I laid out the caveats. I mean, there's clearly some unfortunate news coming out of India, as cases surge, as well as I mean other geographies that changing and operates in like Brazil, and even Canada, for example. So the recovery there won't necessarily be linear. And then finally, I'd say that, the consumer interactive business we’re expecting low single-digit growth from that business as well. So all in all across the portfolio I feel, I think Chris, and I both feel very confident about what's taking hold.
Chris Cartwright: Yes Todd look, that's great color. And I appreciate the breakdown. The one small thing I find out on mortgage is that, we're incredibly focused on this as well forecasts will no doubt vary great. But as the rates have increased, and that has impacted the business, mortgage lenders are still very busy. There's a tremendous amount of work in process. And there's also they've been operating on a generous spread. And as we talked about in prior calls, there's the opportunity to cut into that spread in order to stimulate further demand.
Operator: The next question comes from Hamzah Mazari with Jefferies. Please, go ahead.
Hamzah Mazari: My question is just around a little more around the playbook that you guys articulated, which had great color, specifically on the media and digital ad offering. Could you maybe talk about how differentiated that offering is, what the competitive set looks like there? And then, do you continue to expect to scale this up through M&A just given the leverage today, is at an all time low for you?
Chris Cartwright: Yes thank you for the, thanks for the question. Yes, as we talked about for quite some time now. We think that the media and digital marketplaces will benefit from the precise matching logic and high data quality that TransUnion can bring. We have claim of scenes for many years now fueled the matching append operations of different players in this ecosystem. There is a slightly different set of players. And so, we decided to formalize it and enter you know, initially well obviously, we bring a lot of quality data sets. And as I mentioned, our match logic is very powerful given the core credit markets that we serve and more recently, we did acquisitions to acquire underlying data management technologies that allow us to bring together the range of data that we have in our match logic in a very user friendly way, where digital marketers can generate audiences on the fly. Also, recent acquisitions have brought us data and insights, as to which households are subscribing to various streaming services, both audio and video streaming services, which is letting which will allow advertisers to tap a really rapidly growing marketplace that does not have the same level of insights or add precision that the rest of the marketplace has. So, we've just bought a couple of businesses and Tru Optik and Signal, and we're merging them into our existing operations. We find the management team. We're doing product integration, integration on a variety of levels. And we're building out, are selling our products support, our product integration, and our platform integration activities, quite materially, that's going to continue to be a focus. It's an area where, we expect to have higher than average earnings for the foreseeable future. And we think it's a large end market that it can mature into one of our larger emerging verticals over time. And certainly, we're open to M&A to add additional capabilities as we see fit.
Operator: The next question is from Toni Kaplan with Morgan Stanley. Please, go ahead.
Toni Kaplan: I wanted to start by saying I appreciate the strength and acceleration from January to March. But you mentioned the non-mortgage financial services growth of 5%, which is below what your closest competitor reported in the quarter of 11% organically. And I'm sure you have some ideas on what you think is driving the delta? Just want to know if you think it's tough - you had a tougher comp or is there a mix component here, or is it a sign that environment is just getting a little bit more competitive for you - just or anything else? So I just wanted to give you a chance to explain your thoughts on that? Thank you.
Todd Cello: Toni, this is Todd sorry about the background noise there. As it pertains to the comparison to the prior year for our non-mortgage financial services business, I think what you know couple of things. First the financial services, the mortgage piece did, the growth did decelerate as - I've already said. We have seen a good recovery in many of our end markets like auto, which I talked about in my prepared remarks, that that was an area of particular strength for us. Card and banking and consumer lending, I would say I mean it's really the areas where, when you look at it on a year-over-year basis, perhaps the growth rate isn't as strong. And a significant part of that is, you can't forget that Q1 of 2020 was a relatively strong quarter for us. We were not heavily impacted by the pandemic it was only about two weeks on it particular in the U.S. So if you think back to that period of time, the performance that we were seeing from our FinTech customers was exceptionally strong last year. So we're comping against that. And as I already said, our position with the FinTech’s is an area that we're incredibly proud of. And we've got deep relationships with these customers. So again, as I answered in previous question, these guys are branching into, new businesses, and we're right there partnering with them. So they're a little bit slower to recover in the first quarter because of that comparison, but I think what's more instructive is what's ahead. And then that's really where we get into, just you know the opportunity of low double-digit growth in financial services, ex mortgage that space is a big part of that. Other thing to that I'd throw out there on FinTech side is, there's a lot of consumer lending that goes on in that space. Don't forget about two stimulus checks arrived for many consumers in the quarter, one early January and another one when quarter ended. So demand might not necessarily have been as strong as it has in the past. The other part that to I spent a lot talking about FinTech the other part though, is our bank and credit card business. Again, we were comparing against some really good growth in the prior year and the strength of credit card marketing activity that was pretty good in Q1 of 2020. And that business is now starting to recover as our customers are going to start fighting for wallet share with potential travel and dining out, picking up so we started to see that as well. So that's also just another part about the future that I think is important.
Chris Cartwright: Yes, good color Todd and look, I would just boil it down to this Toni, the engine is firing on all cylinders in Q1 of 2020 with the exception of the last two months of March when the lockdowns occurred. And I mean look - the non-mortgage portion of financial services grew 14% in the first quarter of 2020. The fact that we're now posting growth over that high level of growth, and I would guess that was probably a high watermark for our business, is just really encouraging going forward. And I think you're going to see that growth rate and that spread accelerate against the easier comps that we say in certainly Q2, but also Q3 and Q4.
Operator: The next question comes from Andrew Jeffrey with Truist. Please go ahead.
Andrew Jeffrey: I appreciate taking the question guys. I think TransUnion has a particularly enviable position in fraud and ID, which you highlighted. Chris, can you talk about whether you think there's any sort of pandemic affected demand in those horizontal offerings or is that also sort of more digitally structural I guess driven by pandemic just trying to get a sense of where the puts and takes are on reopening of it?
Chris Cartwright: Yes, I'm not sure about the dynamic specifically related to reopening. But look as we all know, the pandemic resulting in the lockdowns was an enormous ecommerce forcing mechanism. And ecommerce penetration worldwide grew by multiples, right. And that has caused I think a structural change in consumer behavior. And then all of - that's just an increase in anonymous digital transactions, which require increasingly sophisticated identity and authentication. That's where I think our portfolio is well positioned because of the historic strengths that we've got, because we know a lot about individual consumers and can vary them. And we have sophisticated fraud propensity models, but we've also infused this with just gobs of digital information from iovation that's collected from almost every country in the world.
Operator: The next question comes from Kevin Mcveigh with Credit Suisse. Please go ahead.
Kevin Mcveigh: Great, thank you and congratulations. Hey Chris and Todd. Just wanted some question around framing the recovery relative to prior cycles and just, feel like you're better position given the pace of disruption as we're coming out of this season. The way to think about how that it can impact the revenue growth longer term, particularly the positioning at FinTech as it becomes more pervasive across the enterprise? And if there's any frame is it the incremental growth and margin profile of the business as you're seeing on the FinTech opportunity given the pace of disruption?
Chris Cartwright: Yes, good question. And I agree that we are well positioned coming out of this pandemic, recovery and I mean it feels a bit premature, to sit back given what's going on in some of our international markets in particular India and Brazil. But things are substantially better in the U.S. The vaccines are highly available the vaccination rates are substantially improving and in stages and have turned back towards the normal and consumption and that's really fitting our business. As Todd mentioned, the benefits are in almost every vertical across our portfolio in the U.S. with the exceptions of mortgage, which is going to face headwinds for a couple of years because the air is going to get let out of that balloon if you will that was caused by the low interest rates. And also, it's going to take some more orders for our healthcare business to return and to grow - find everybody that, in the first quarter of 2020 the healthcare business grew organically 9%. And we'd really kind of return to the targets that we expected and in particular during this pandemic. But look, the portfolio is still not firing on all cylinders. But I do think it's positioned for meaningful recovery quarter-by-quarter, as we re-emerge from this. I think you're going to see and acceleration in financial services from the non-mortgage verticals. I think the emerging markets are in the U.S. are particularly - the emerging verticals that is, are particularly going to accelerate. In the direct-to-consumer business, as lenders become more focused on new customer acquisition, our indirect channel will again become a strength, a differentiator that's going to propel further growth. And again, I'll remind everyone that in the couple of - in the few years prior to this pandemic, our international portfolio was growing at 12% to 15% organically, right. And it was a real strength within our enterprise. We grew 3% in the first quarter. And while that is a substantial improvement, look there is a lot of just inherent organic growth across that portfolio given that we serve emerging markets, growing middle classes, and increasing financial penetration, it's just those markets are grappling with COVID right now. But again, as vaccines rollout, and as we approach herd immunity in different markets, it's going to have a significantly beneficial impact on our results.
Operator: The next question comes from Shlomo Rosenbaum with Stifel. Please go ahead.
Shlomo Rosenbaum: Thanks very much for squeezing me in. Hey Todd, I thought I just kind of asked you about a little bit of the organic growth expectation for the year. Is there some way you can parse it and if it’s not quantitatively, may be qualitatively in terms of the economic recovery boost versus kind of a company getting back to aggressively being able to drive the sales from internal initiatives? Just trying to figure out how you guys are looking at that internally? How much is going to just be the boost from the economic recovery and how much is we're getting back on our front foot again?
Chris Cartwright: Hi, Shlomo. Thanks for the question. And yes, it's obviously a good one to ask, because so much of the focus is on economic recovery, which undoubtedly does benefit TransUnion. But I would say that, if you were to look back over the last year, and we were to look at our portfolios and say - our pipeline of sales deals in the March timeframe. It was for deals to help our customers continue to grow their business, because that was the mode that they were in at that period of time. And it was remarkable how quickly our sales force pivoted to what was a new expectation from our customers to help them manage their existing portfolio. So if you were to look at our pipeline in May of last year, it drastically changed. And the reason I tell you that is it's just the expertise that we have in our sales force and understanding the customer's needs. But more importantly, how we are able to pivot not just sales, but the team supporting sales all of our - all the products and our performing teams to start to deliver products that are relevant for the customer at that time and we did that last year. And we reacted and we continued to win a significant amount of business throughout the remainder of 2020. As you move into the first quarter of this year, it's again, kind of remarkable how that pipeline turns over again. And you've heard us in our commentary talk about our customers looking to acquire again and start to market. So that pipeline has again changed, and it's changing for a different market that we've adapted to. So when we look and we provide guidance for the full year, we're not only just taking into consideration the macro factors, but we're also taking a look at the deals that the team has won and that's factored in here. So Shlomo I can't give you the precise breakdowns, but I think what's important is pipeline is robust. Our sales force is executing and we're winning. And it's really again driven by the superior product innovation that TransUnion has that arguably makes our sales teams very effective in the marketplace.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Aaron Hoffman for any closing remarks.
Aaron Hoffman: Great, I'll just thank everyone for joining us today. And I hope that you have a wonderful rest of the day. We look forward to speaking with many of you over the course of the quarter. Have a good day. Bye, bye.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.